Operator: Greetings. Welcome to the Fourth Quarter 2014 IDEX Corporation Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Michael Yates, Vice President and Chief Accounting Officer. Thank you. Mr. Yates, you may begin.
Michael John Yates: Thank you, Rob. Good morning, everyone. This is Mike Yates, Vice President and Chief Accounting Officer for IDEX Corporation. Thank you for joining us for a discussion of the IDEX fourth quarter and full year financial highlights. Last night, we issued a press release outlining our company's financial and operating performance for the 3- and 12-month periods ended December 31, 2014. The press release, along with the presentation slides to be used during today's webcast, can be accessed on our company's website at www.idexcorp.com. Joining me today is Andy Silvernail, our Chairman and CEO; and Heath Mitts, our Chief Financial Officer. The format for our call today is as follows: We will begin with Andy providing an update on our outlook, including an update on markets, geographies and capital deployment. And then he will review the fourth quarter and full year financial results. He will then walk you through the operating performance within each of our segments. And finally, we will wrap up with our guidance for the first quarter and full year 2015. Following our prepared remarks, we'll then open the call for your questions. If you should need to exit the call for any reason, you may access a complete replay beginning approximately 2 hours after the call concludes by dialing the toll-free number (877) 660-6853 and entering conference ID# 13598705. Or you simply may log onto our company's homepage for the webcast replay. As we begin, a brief reminder. This call may contain certain forward-looking statements that are subject to the safe harbor language in today's press release and in IDEX's filings with the Securities and Exchange Commission. With that, I'll now turn the call over to our Chairman and CEO, Andy Silvernail.
Andrew K. Silvernail: Thanks, Mike. Good morning, everybody, and I appreciate you joining us for our fourth quarter call and a look at the full year and our outlook. At the end of the day, IDEX had a very strong 2014. We had sales up 6%, that was up 5% organically. Sales and operating margin increased in all 3 segments, and we delivered 16% adjusted EPS growth. We achieved these results in a continued volatile market, and I think we all know that we're seeing that extend into early 2015. But we had outstanding execution. We overdrove productivity, and we've really continued to focus on our core products and customers. And I'm very, very proud of the results that the team has delivered. I'm going to take a minute here and just talk about what we're seeing in the world. I'll break it down in terms of the markets and also the spaces that we play in and talk about geographies. If we look at the -- to the macro environment for 2015, I mean, obviously, we've had a couple of major changes here in the last 90 days. About 1/4 of our business is in Europe and obviously, with the deterioration of the euro and British pound against the dollar, this creates some pretty good-sized headwinds for us as we go into the year, and that equates to about $0.15. And so that's -- it's certainly different than what -- we were with you about 90 days ago. We've also had the drop in oil prices, and that's not a huge impact on our business. We've got about 11% of our business that's in energy of some kind, 2% to 3% or so that's upstream. And longer term, we know there will be good economic benefits that will benefit IDEX as a whole. But in the short term, it is modestly negative to IDEX in 2015. Also, as we have communicated, really, this time last year and throughout all of last year, we knew we had about $50 million of onetime large projects that principally hit in the first half of last year. And so we really have to fill that hole as we go through 2015. Together, these items are worth about $0.35 to $0.40 of headwind through the year. Regardless of that, we're going to grow in 2015. We're going to grow in the top line and we're going to grow in the bottom line. We anticipated a lot of this headwind early into last year, and also, just the work that we've done in terms of segmentation have really prepared our business to continue to grow profitability and to grow organically. In the fourth quarter, we took almost $14 million of cost actions that are going to deliver $15 million of profitability for us in 2015. We really were able to optimize our cost structure, increase our competitiveness and reallocate resources. One of the things that we talk about a lot here in IDEX is the idea of cutting and building. Taking resources from places that aren't as productive, aren't as profitable and moving them aggressively into other areas of the company. And we've done that this year. And we're going to move up to, say, $12 million in continued growth investments throughout the year. So with that, let me take a few minutes and talk about the end markets, the regions around the globe, and then I'll also talk about the acquisition environment. First, in terms of end markets. If you look at Energy and Chemical, in -- specifically, since our third quarter call, obviously, oil prices have fallen dramatically. This impacts principally our energy platform and BAND-IT. And again, about 11% of our business touches the energy world and 2% to 3% is upstream. The -- overall, this impacts mostly our FMT segment. The business, some in Europe and the Middle East are clearly impacted by it and certainly, the BAND-IT business, which does have exposure to downhole drilling. At the end of the day, we don't expect much of a material change into our outlook in 2015. We are assuming that oil prices remain where we are today and the impact to rig counts, et cetera, the negative trend that's happening is going to hold throughout 2015. Our core Energy business and our core Chemical business, however, is doing quite well in North America. There's some softness in Europe but generally, that business is really holding up. The Industrial side is strong. North America is particularly strong, and in these businesses where we are focused in on the core markets, we're delivering new products and we're certainly seeing our ability to take share in those markets. Analytical instrumentation. It's really rebounded from the third quarter of last year. We talked about that principally being an inventory issue. That is exactly what happened and we saw a nice pickup in the fourth quarter, and we expect solid growth here throughout 2015. The Ag market, which this time last year we started talking about the softness and our expectations for that, it has been soft principally in the OEM business. But the aftermarket, which is large and profitable for us, has remained solid, and we expect it to do so through the balance of the year. Finally, on the municipal front, the U.S. business has definitely picked up. The rest of the world hasn't as much, but we have seen a pickup in overall spending in municipal markets. And this has impacted our Water business and certainly, our Rescue business in the U.S. iPEK, which is our pipeline inspection business, has had, really, just an outstanding last 24 months. They've launched a handful of new products that I'm going to talk about later, but they're growing very, very nicely. If we turn to the regions around the world, North America has been solid, and I expect it to be solid in most end markets. But particularly in our Chemical, Industrial and our Instrumentation businesses -- that's been rock solid for us and we expect it to do so for the balance of the year. Europe, a different story. Obviously, it's been soft. It was negative for us as we look at the fourth quarter. We do expect it to grow modestly in -- throughout the balance of 2015. But generally, we think the trends in Europe are going to continue. And that said, the trends in China. China's been soft, also. It's still growing. It is a strategic region for us. We're going to continue to make investments there, but you have to be willing to live with the volatility in that marketplace, and it certainly has been so for the last 18 to 24 months and we think for the balance of this year also. The Middle East is going to be tough. With the drop in oil prices, we expect spending to come down some. And we've expected it -- there to be some kind of -- some contraction in that marketplace throughout the year. With that, let me move to a little bit on capital deployment. So we have very aggressively been reinvesting in the business for both growth and productivity. We increased our CapEx over 50% from 2013 to about $48 million in 2014 and really targeted around how can we accelerate organic growth and how can we continue to drive productivity. And that's why you're seeing a lot of the margin improvement that you've seen, really, in the last few years. A lot of what we're doing is really moving capital to very specific investments that we saw come to fruition here in 2014. We doubled the size of our India facility to meet demand, and that serves multiple platforms. In our Fire business, we have -- we have really targeted new markets for fire suppression trailers in the power generation market, and that was really untapped prior to 2013. Our sealing and our CFP businesses opened new facilities for new product lines that they're going to introduce throughout the year. And Viking expanded its R&D capabilities for, really, new product introductions. These have had really tangible benefits in 2014 and they're going to continue through to 2015, and that's why it's so critical for us to continue to move resources, people and capital to our best businesses. And so we're going to continue to do that in 2015. You should expect from us, from a capital perspective, to continue around 30% of our earnings going into dividends. And also, this year, you should expect about a net 2% decrease in the share count. In 2014, we repurchased about 3 million shares at a cost of $223 million. Finally, let me address what we're seeing in the M&A world. Our funnel of opportunities remain strong and the targets that we're looking at meet our strategic and our financial objectives. The valuation environment hasn't changed, it's still challenging, but we are really pressing on cultivation, and we think that's starting to pay off. And it's our responsibility to make sure that we use the capital intelligently and we really deliver value for you, our shareholders. I'm optimistic about 2015. I will be disappointed if we don't close $250 million of acquisitions in 2015. With that, let me turn to the full year results. I'm on Slide 4. Just as a reminder, this -- all of the information here excludes the impact of the restructuring that we did in the fourth quarter. So revenue for the year was $2.1 billion, up 6%, 5% organically with increases across all of the segments. Orders were also up (sic) $2.1 billion, up 2%, 1% organically. If you look at adjusted operating margin, they were 20.7% for the year, up 120 basis points. Across the board, outstanding results in terms of profitability and the ability to continue to extend margins. A real focus on elimination of complexity and driving productivity across the businesses. Free cash flow was $326 million. That was 117% of net income. And it's worth pointing out that if you look at working capital across the last 3 years, we've taken our working capital down from 22% of sales to 17% of sales this year. So just an outstanding job by our teams. And finally, EPS for the year was $3.57, and that was up 16% on an adjusted basis year-over-year. In the fourth quarter, we had 1% increase in organic orders and 2% increase in sales, really led by FMT and HST. Operating margin was up 60 basis points from the prior year at 20.6% and really just a great job by HST, which has delivered a 470-basis-point margin improvement to 22.9%, which is really just outstanding for the teams. And this, really, across the board in that segment, the businesses really delivered nicely. Free cash flow was down 7% in the quarter and really due to the -- entirely to increased CapEx spending. Adjusted EPS was $0.89 or 9% increase over prior year. Again, these results give us really, really nice momentum as we go into 2015. All right, let me turn to the segment discussions. We'll start with Fluid & Metering. I'm on Slide 5. FMT closed out 2014 with a 3% increase in orders, resulting in 2% for the full year. Organic sales were up 2% in the quarter, again, up 2% for the year. Op margin was flat in the quarter, but it was up 60 basis points to 24.8% for, really, just an outstanding performance. Across the segment, all of the businesses were positive except for Ag. So just a nice job. If you look at Water Services, we've seen, municipal spending, it's growing in the low single digits when you look at it across the globe. But our business has far outpaced that. They've done a great job of segmentation, they're winning share in their core and they're driving organic growth and profitability. iPEK, as I mentioned before, has done a wonderful job with new products. They have delivered a new ROVION system that, in the last 5 years, has really helped them double revenue, and they've grown margins by 1,000 basis points and they've filed 34 patents for that new product. They've delivered over 1,000 systems, and that is relative to only 400 systems that have been delivered in the previous 14 years. So we expect that performance to really continue to and be outstanding in 2015. If you look at Energy, again, our exposure here to foreign oil prices I've talked about. We will see some issues in Europe and the Middle East in particular, but it's a relatively small piece of our business, 2% to 3%, as we mentioned, that's upstream. In the bulk of our business, which is midstream, we're seeing a nice performance and a solid backlog as we go into 2015. Chemical, there is some softness in Europe, but North America, the Distribution business is solid, Asia is solid, and we're seeing really nice performance out of our Viking pump business. And finally, Ag. That is an area of caution for us. We expected it to be soft given what's going on with the OEMs. We were prepared for that, but we're going to see nice growth in the industrial side of that business and we expect that the distribution business will continue to be solid. All right. Let's turn to Slide 6 and let's move on to Health & Science. In the fourth quarter, organic orders were up 2%, organic sales were up 5%. And for the year, HST had 3% organic order growth and 4% organic sales growth. The improvement in operating margins was just outstanding. As I mentioned before, margins were up 470 basis points in the quarter, and they were up 190 basis points for the year. And there were some really excellent contributors in here. I guess, first of all, Scientific Fluidics had a really solid quarter in terms of growth and profitability. Our Optics business had great productivity and continues to move profitability upwards. And our Material Process business had a couple of large projects that have pushed through with great execution and nice profit mix. If you look at Scientific Fluidics, as I've mentioned, we closed out the year real nicely, and we saw that trend move from the -- well, we saw softness in the third quarter to a really nice performance in the fourth quarter as inventories normalized and we saw a regular pull in that business. We see pretty nice tailwinds as we head into 2015. If you look at the bio business and in vitro diagnostics and analytical instrumentation, we think there's a very, very healthy pipeline of businesses coming out in terms of end-market OEM products, and we have continued to win share on those products. If you look at Optics & Photonics, nice -- very nice quarter. We've absolutely seen that business stabilize, and really strong movements and profitability, as we had expected and as we had committed. Also, if you look at the industrial side of what sits in HST, really, great performance, particularly if you look at Gast. That's a business that I had responsibility for when I first joined IDEX, and Eric Ashleman and the team there, within that business, have just done a terrific job of growing sales and profitability. All right. I'm on the final segment, Diversified, and you would want to flip to Slide 7. As we've talked about consistently, our great success in 2013 and most of 2014, we had some large project wins that delivered terrific performance, but obviously, that creates headwind for us in 2015, in particular, really, in the first half and the large Dispensing order that we had was mostly delivered in the first quarter. In the fourth quarter, organic orders were down 7%, and they were down 4% for the full year. Both declines were due to these large nonrecurring orders that I just spoke about. Organic sales for the quarter were down 5% on lower volume in our Dispensing Equipment business but grew 13% organically for the full year. There are some really significant opportunities. We're always going to see pretty significant large projects as we look at Dispensing, Rescue and Fire, and that's going to create difficult comps year-on-year, but we've got great initiatives that are paying off across the segment. BAND-IT's winning in transportation, cable management and industrial. The Dispensing team continues to have really outstanding core growth. We're seeing the X-SMART product, which has been a home run for us, continue to grow in that business. And really, it's one of our most global businesses, and we continue to penetrate markets throughout the world. And finally, if you look at the Fire Suppression group, the team just did an excellent job this year executing on pent-up demand in that trailer business that I mentioned earlier. And we expect that business, while it's going to have a little bit of a dip here versus 2014, that's a business that is going to continue to grow for us and really pay nice dividends. We expect the core business in the U.S. and China to be relatively flat, but we've got a slew of new products that are being brought to market here, and we expect to see growth throughout the year. All right. I'm on Slide 8, and let's talk about the full year guidance. We expect low single-digit organic growth across all the platforms for the year, and that's going to deliver $0.05 to $0.10 of incremental EPS. It's important to note that the $15 million of nonrecurring projects in 2014 present 2 to 3 points organic headwind in 2015. And I know we've talked about that a lot throughout last year, but you can expect to see the vast majority of that in the first half and obviously, a big piece of that here in the first quarter. So if you kind of -- if you balance for that, the 1% to 2% organic growth that we're talking about really looks like 3% to 5% on the core business. The impact of FX that I mentioned before, it really hits us with the euro, the Canadian dollar and the British pound. And that's about $85 million of top line and about $0.15 of EPS. For the full year of 2014, we had a 28.8% tax rate due to a number of onetime items. We don't expect that to continue, and also, with the strength of the U.S. business, our tax rate is going to creep a little bit. We expect 2015 to be 29.5%, which is about a $0.05 headwind if you look at it on a comparative basis. We will continue our share buyback program and that adds about $0.11 in 2015, and then the restructuring action that we took in the fourth quarter will add about $0.14 in the year. Finally, if you look at productivity, net of inflation, that's going to get us about $0.08. Just a great job by our teams really driving net productivity. And then, we're going to continue to make the investments that I spoke about earlier to -- for growth and for productivity, and that's about a $0.10 investment for the year. All right. Let's look at Q1 and full year guidance, I'm on Slide 9. If we look at the estimates, we're talking about $0.81 to $0.83 with an operating margin of about $0.20 in the first quarter. That compares to the $0.91 last year. But keep in mind, in the first half of 2014, and predominantly Q1, we had very strong incremental margins from that large Dispensing order. And this is also compounded a little bit by the -- by, obviously, the strong FX issues that we're seeing here compared to 2014. In Q1, we think the tax rate's going to be 29.5%. We estimate about a 5% top line sales headwind from FX, and that's about $0.05 of EPS versus the prior year. A few more modeling items for you. You should expect about 21% op profit for the year and about $0.15 of FX headwind, which is about 4% top line also for the year. Full year CapEx should be about $45 million. Free cash flow will be about 120% of net income, and you should expect about 2% net share reduction for the year. As always, these earnings don't include any impact from acquisitions, or the cost associated with that, as we look at our guidance for 2015. So with that, let me pause here and turn it over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from the line of Matt McConnell, RBC Capital Markets.
Matthew W. McConnell - RBC Capital Markets, LLC, Research Division: Could you give us the organic revenue that you're looking for in the first quarter? And then, I wonder if there's a ramp-up through the year built into that, independent of the Dispensing comps. Because the first quarter guidance is only about 22% of your full year guidance, which is lower. So it implies a little bit of a ramp through the year. Is that just FX? Or is there something else in the first quarter?
Andrew K. Silvernail: No. You've got -- really, the impact that you're looking at for the year, is that the onetime business impacts really had a very strong balance in the first quarter of last year, and obviously, we had a very strong Q1 of last year. We think organic growth in the first quarter is probably flattish, that's our guess, maybe slightly up, but flat, generally. And as you move through the year, you've got a couple things happening. Number one, we do expect some modest pickup, not dramatically, but some modest pickup in the business. There's some seasonality as you look at the second quarter in particular. And we've got a number of new products that started to hit late last year, and we see ramping up as we get into the second half of last year. So obviously, as you look at the first quarter, that's a pretty big hole relative to last year. It is entirely -- that Dispensing order, but the rest of the businesses are really performing very, very well.
Matthew W. McConnell - RBC Capital Markets, LLC, Research Division: Okay, great. That's helpful. And then so...
Andrew K. Silvernail: I just -- one thing. Just to give you a sense of it, in the first quarter alone, from a top line basis, the Dispensing order is a 4-point impact up line.
Matthew W. McConnell - RBC Capital Markets, LLC, Research Division: Right. That's for the whole business, not just the segment?
Andrew K. Silvernail: No. That's for all of IDEX.
Matthew W. McConnell - RBC Capital Markets, LLC, Research Division: Yes, yes. Okay, got it. And then, is there a pipeline of any more of these potential lumpy projects? And the reason I ask is that the projects that are creating the tough comp, they're not exactly fluke. You're investing in new products, in new channels. And so it drove nice growth last year, but is there anything in the pipeline that could be comparable or a repeat of what you saw last year?
Andrew K. Silvernail: I don't think -- on the Dispensing side, the answer to that is no. So your -- first of all, you're absolutely right. That is the nature. If you look at Dispensing, and to some degree, Rescue and now with the Trailer business with Fire, you're going to get some of that. That's just kind of part of the business. Dispensing tends to have a little bit more volatility there or change year-to-year because you tend to get large refresh orders from big-box retailers. We have a pretty good view of what's going to happen and when it's going to happen in the year. And so we can see that. I don't see big Dispensing orders this year on a comparable basis to what we saw last year, but if you look at Rescue and you look at Fire, there's always a pipeline. And there is in Dispensing, too. There's always a pipeline. So you're right to say that it's not a fluke. We are investing in new products, and it's absolutely what allows us to do that. So if you look at the Rescue business, if you look at Fire and if you look at Dispensing, all of the big wins that we've talked about really were because of outstanding new products and very, very good service operations.
Operator: Our next question comes from the line of Nathan Jones with Stifel.
Nathan Jones - Stifel, Nicolaus & Company, Incorporated, Research Division: Andy, Heath, if we could talk a little bit about energy. I know you're primarily downstream, refined products. Can you talk -- I'm sure this is not baked into your guidance or anything, but could you talk about the potential for any kind of increased demand there based on the fact that oil has gone down so gasoline has gone down? The potential for you, as [ph] people, to drive more of that kind of stuff? And the impact that could possibly have on your business.
Andrew K. Silvernail: So we've -- as you might imagine, we've looked at that pretty hard. I think the issue that you have within the window that we're talking about, which is let's just put it in the bracket in 2015, is you have a relatively dramatic negative impact in the first half of the year just because of projects either being put on hold or being slowed down, et cetera. And the residual impact of -- was effectively a giant tax cut across the world and the money coming back into the system. That just takes longer to prime the pump. And so I expect the benefits of that to be potentially late in this year and then as we look at 2016 and beyond, if this continues. So if you net it out, I think it's actually a net positive for IDEX over a couple of years. But certainly, in the first half and principally in 2015, it's a slight net negative.
Nathan Jones - Stifel, Nicolaus & Company, Incorporated, Research Division: Yes, that's what I would have thought, too. So you take a little bit of pain upfront and -- for a little bit of gain down the road.
Andrew K. Silvernail: Yes, I think that's right.
Nathan Jones - Stifel, Nicolaus & Company, Incorporated, Research Division: You guys have done a fantastic job over the last few years increasing productivity, increasing margins and targeting these growth investments. You called out $12 million in 2015. Can you give us a little bit more color on where that's going?
Andrew K. Silvernail: Yes. So -- and so we called out $12 million that hits the P&L. But also, if you look at the $45 million in CapEx, we did $48 million this year, we'll do $45 million next year, which is up meaningfully from our historical run rate, I mean still not a big number really, a huge amount of that money is going to growth and productivity. So if you know -- focusing in on the $12 million. It's really going into the front end of the business, so in a few places. It's going to sales channel development, so feet-on-the-street, and the development of distribution. Mostly incremental distribution outside of the U.S. and Europe. We've got outstanding historical distribution in those 2 regions. But if you look at other parts of the world, it still has got to mature. So there's money going into there. More money going into new product development, engineering talent principally that we're building out. And there are 5 or 6 businesses in particular that we are pushing more money into because we think the profit pools and the growth aspects of that are really outstanding. And that would be if you look at our Viking business, as an example. Our energy platform, even though it's having some struggles today, we're putting more money into CFP, into energy. We're putting more money into Scientific Fluidics and into Optics. And then -- and I'm just talking about the things here that are kind of incremental to some of the investments that we've made before. But principally, the $12 million is going into the front end of the business.
Nathan Jones - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And then, just looking at HST, you've got margins at the highest level since you bought CVI, which was dilutive to margins, and as far as I can see, the second highest quarter ever for that business. Can you talk about what -- and I assume that means that the non-CVI businesses continued to expend margins through that. Can you talk about how sustainable margins are at this level? What kind of long-term target you think you can get to in that business?
Andrew K. Silvernail: So a couple of things. First of all, you're absolutely right in talking about the op margin. But if you looked at it on EBITDA basis, it's actually well ahead of any record [ph] EBITDA margin basis. So really a great job. It's not one business, right? So certainly, the Optics business has continued to improve profitability. But if you look at Scientific Fluidics, if you look at Material Process, if you look at the Sealing business, if you look at Gast and Micropump, every single one of those has seen margin expansion in this year and in the quarter. So it's pretty broad-based. And it comes down to a real focus in on a couple of things. Number one, really, a tight view of segmentation where we're really understanding where the profit pools are and where growth can come from. It's investments in productivity. So we're seeing a nice mix change within each of the businesses in terms of more profitable business, and we're also seeing some really nice productivity gains. Just one example of that, and I think this is a wonderful example, is when I joined IDEX in 2009, the Gast business, since that time, profit margins in that business have doubled. That's just an example of that. And I think they're just a wonderful example of being able to consistently drive profit improvement. Now in terms of sustainability at this level, I think this is a little bit high. If I look at the first quarter, first quarter margins will be down sequentially from the fourth quarter, just with the nature of mix of the business and some volume. But I think you should expect margins that are consistently in this neighborhood. North of 21%, 21%, 22% based on how we're performing today. And by the way, we have an expectation that margins will continue to get better over time.
Operator: Our next question comes from the line of Scott Graham with Jefferies.
R. Scott Graham - Jefferies LLC, Research Division: I was hoping that you could tell us about price versus cost this quarter. How was pricing?
Andrew K. Silvernail: Yes. We're still getting nice price. Heath, what was the total?
Heath A. Mitts: Excuse me, Scott. Price for the year for 2014 was somewhere around 1.1%, 1.2% gross. So relative to the inflationary pressures, so that outpaced the inflationary side by, let's call that, 0.5 points or so. As we look for '15 --- and I'd say it was consistent quarter-to-quarter, Scott. So it wasn't a spike in any one quarter. It was pretty consistent. Most of our price increases tend to go out in the announced and then effective kind of a November, December, January time frame. So largely, the price increases that we expect in 2015 are in place, and we've got a pretty good feel for what's going to stick relative to that. So we still feel pretty good about our ability to outpace input pricing pressures or inflationary pressures on that side, on the material side, specifically, by another, let's call it, 0.3 to 0.5 of a point.
R. Scott Graham - Jefferies LLC, Research Division: Okay. Could you also tell us how much of your organic growth in 2014 was attributable to higher oil as an end market? I know it's in the 10% of sales, right, so I'm sure it wasn't much. But was that a needle mover for you on the top line?
Andrew K. Silvernail: Not really, not really. The impact that we're seeing here for the year, it's probably, net-net, it's probably 1 point of organic growth that we're being impacted by in '15 from what we're seeing, plus or minus. But I'd have a hard time kind of giving you what the incremental '14 over '13 was relative to the oil price.
R. Scott Graham - Jefferies LLC, Research Division: Fair enough. Last question. You mentioned, Andy, that you'd be disappointed if you didn't close $250 million of acquisitions. The first question is: a, I'm assuming that, that's outlays as opposed to sales; and b, could you tell us more about that? I mean, could you give us something a little bit more granular on that confidence, sizes, that kind of thing? How close you are to the altar here?
Andrew K. Silvernail: Well, so you're right. First of all, the $250 million that I talked about is certainly outlaid. The -- my confidence level comes from two things: Number one, the things that are in our funnel today, and we really look at it like a sales funnel almost, are things that are really cultivated businesses. So they're not auctions. So anytime you're -- what you're dealing with this deep into the funnel and they're auctions, you just don't know how it's going to go, where these are really proprietary deals that are -- we've cultivated over a long period of time. And so we feel pretty good. We've got a few right now that are -- that, really, we're at kind of the end stages. That being said, things do happen. There's -- we've got a couple of deals that we feel great about, and we think we can get them over the finish line here in the not-too-distant future. That certainly wouldn't get us to the total $250 million that we're talking about, but I feel very, very good about the funnel that we have in general.
R. Scott Graham - Jefferies LLC, Research Division: Would you say that there are deals that are close or, let's say, within the hope for $250 million that are in excess of $100 million in sales?
Andrew K. Silvernail: In sales? No, no. Not in sales. The -- in aggregate, if we deploy the $250 million, it should add over $100 million in sales. But the stuff that we're far down the pipeline today, none of them are over $100 million themselves.
Operator: The next question comes from the line of Allison Poliniak with Wells Fargo.
Allison Poliniak-Cusic - Wells Fargo Securities, LLC, Research Division: On working capital, you made a nice move to that 17% range. As you look across your businesses, is that a good run rate? Do you still see some room for improvement there? Can you talk about that a little bit?
Andrew K. Silvernail: Yes. So the 17%, 15% in businesses like ours is truly kind of world-class. So I think the 17% is -- I'll put it in a very good category. That being said, as you might imagine, across the distribution, we've got some businesses that are running in the 10% range and even a couple that are actually in the single digits. And then we've got a couple outliers that are actually in the mid-20s. And so while I -- certainly, I don't think we've got 500 basis points of improvement in us. We've got 2 or 3 good-sized businesses that are in the mid-20s that really should be businesses that are in low-20s, high teens. So we got some room.
Allison Poliniak-Cusic - Wells Fargo Securities, LLC, Research Division: Great, great. And then just turning to Fire & Safety and Diversified. I think you guys had talked about 24% of EBIT margins as a fairly decent run rate. As we look to '15, obviously, challenges abounded potentially with energy and those large orders not recurring. I mean, should we be thinking a level lower than that this year?
Andrew K. Silvernail: Plus/minus. I don't see that a lot different. I think you've got -- if you look across the businesses, BAND-IT will get hit a little bit on the energy side, but they'll still grow. So net-net, they'll still grow that business. So I feel pretty good about that. The core Dispensing business, so the non -- I shouldn't call it core, really, the non-project business is growing nicely and the underlying profitability has continued to improve. The Fire business, in the last 3 years, we've improved profitability by 1,000 basis points. So it's -- we've made a nice run there. Heath, what would you add to that?
Heath A. Mitts: No, I think largely it balances out that -- just followed Andy's comments. I think we'll probably -- this business, and I've said this before in these calls, this particular segment feels the pinch of mix more poignantly than almost anything we have in our other portfolio just because you have 4 distinct businesses in there with different profit profiles, albeit all very impressive. It's just a couple of those businesses, specifically Rescue and BAND-IT, tend to be much more profitable than Dispensing and Fire. Having said that, some of the things that, from a project perspective, that are coming off this year versus last year are being replaced with things that we feel pretty good about mix-wise. So even though we're going to feel a top line pressure there, to hold margins in the mid-20s, I think, is very reasonable there.
Operator: The next question is from the line of Brian Konigsberg with Vertical Research.
Brian Konigsberg - Vertical Research Partners, LLC: Just touching more on, I guess, Chemical and midstream in North America which, it sounds like, you feel pretty confident about despite what's going on. Just curious, as far as your, I guess, your participation and maybe your sensitivity to the markets, I mean, are you more, I guess, related to ongoing utilization and activity rather than new projects? Maybe just start there.
Andrew K. Silvernail: Yes. So the core of our business, as we look at energy, is really around custody transfer and metering. And so we tend -- if you look at our -- this business over time, when the energy markets are booming, the question we always get is why isn't your energy business growing as fast? And when things struggle, we tend to outperform. And so it just doesn't have the same beta that the overall energy market has. So we tend to be custody transfer, we tend to be more metering. We're not as driven by the project business. And actually, if you look at the growth of that business, pre -- kind of what we've seen happen here in the last 6 months, that's been kind of a mid- to high single-digit grower for us for the last 3 or 4 years. And really, on the back of excellent kind of day-to-day business, not big project business.
Brian Konigsberg - Vertical Research Partners, LLC: So to the extent we do start to see some maybe deferrals or cancellations of new projects, you don't anticipate that to impact your outlook much?
Andrew K. Silvernail: You'll see some of it. So as an example, last year, as the issues in the Middle East really started to pick up, our Sampi business, which is dealing a lot with skids, that business really dropped off. And that's at kind of a historical low for us right now. And so that's kind of impacted. But generally, if you -- large-scale cancellations, we're not playing in the downhole or in the rig side very much. It's kind of 2%, 3% of the business. So it just won't have the volatility that people who are really exposed to upstream have.
Brian Konigsberg - Vertical Research Partners, LLC: Okay. And then just coming back to the price cost. So I think you mentioned you still anticipate some inflationary pressures. I mean, just kind of looking at a lot of the primary commodities, you are seeing deflation, not inflation. Are you just locked in to some of these costs for a period of time? And if we remain at levels we are today, you would anticipate that to start to be a tailwind at some point?
Andrew K. Silvernail: Not -- we don't have very many locked contracts. I mean, we have a couple of things with some specialties metals that are locked in and some motors contract, as an example, that are -- that have longer lead times to influence those things. But it's not really big. One of the -- if you kind of look at our overall supply, our supply chain, it looks like, frankly, how we deliver to the marketplace, right? So we're buying relatively small lots of things. And so the overall kind of price pressure on either side of the equation is never really big, unless you have something kind of really crazy happening in the marketplaces, which, historically, has not happened. The other side of inflation, right, is just, wage inflation. So if you look at just -- if you kind of start a year and you expect to have kind of normal wage inflation and very, very modest input inflation, for us that's kind of a $25-ish million number that you walk into the year with, right, that you got to cover. So the $8 million in net productivity that we're talking about, what that really means is we're taking out kind of $33 million to $35 million of gross cost, and we're netting $8 million. And so -- sorry, $0.08 a share, so it's a little bit more than that. So it's a nice number that we're getting in total productivity.
Brian Konigsberg - Vertical Research Partners, LLC: Got you. Okay, great. And so the net productivity of the $0.08 includes the spread between the price and -- price and cost?
Andrew K. Silvernail: Absolutely, yes. And wage inflation.
Operator: Our next question comes from the line of Charley Brady with BMO.
Charles D. Brady - BMO Capital Markets Canada: Can you give us -- and if you've said this, I'm sorry if I missed it, just the -- if you exclude those onetime projects, what the organic growth would have been in the Diversified business, Fire & Safety and Diversified? And kind of what the orders would have been -- looked like if you x out those kind of onetime stuff?
Andrew K. Silvernail: Are you talking for '15 or for '14, Charley?
Charles D. Brady - BMO Capital Markets Canada: I'm talking what we saw in Q4 and for the year.
Andrew K. Silvernail: Oh, okay, okay. Yes. Q4 doesn't have a big impact. So Q4, the vast majority of what we're talking about here happened in, from a sales perspective and a profit perspective, happened in the first half of '14. And it really includes the Dispensing and the Trailers piece. Those 2 big pieces happened, really, early in the year. So not much impact here in the third, fourth quarter. A little bit in the third, not a lot in the fourth. And the orders impact actually was in 2013, right? Because those orders happened in the third, fourth quarter of 2013, they got shipped in the first, second quarter of '14.
Charles D. Brady - BMO Capital Markets Canada: Okay. So that -- I guess, what I'm looking at is that 7% decline in Fire & Safety and Diversified. Is that mostly coming out of Dispensing, which tends to have a lot higher European exposure?
Andrew K. Silvernail: That's exactly right.
Heath A. Mitts: That's exactly right, Charley.
Charles D. Brady - BMO Capital Markets Canada: Okay. All right. Can you give me the share -- what the share count was at the end of the year rather than the average?
Heath A. Mitts: 78.8 million.
Andrew K. Silvernail: Yes. So the actual closing number is 78.8 million. The average number we're looking at is, what, 78.2 million for -- it's kind of low 78s for the full year -- yes. 78.2 million is what we're looking at for 2015.
Charles D. Brady - BMO Capital Markets Canada: Fully diluted, correct?
Andrew K. Silvernail: Yes. yes. Weighted. Yes, fully...
Heath A. Mitts: Full year, fully diluted weighted average share is 78.2 million, about.
Operator: The next question is from the line of Kevin Maczka with BB&T.
Kevin R. Maczka - BB&T Capital Markets, Research Division: Can we just touch on the restructuring again a little bit more? You've been doing a nice job on productivity, and you expect more of that in the new year. But the -- in Q4, we had formal restructuring in all 3 segments. Can you just give a little more detail there on what was done? Is this all footprint related? And I think I know the answer, but is this it as far as the foreseeable actions in 2015?
Andrew K. Silvernail: So we started -- Kevin, we started looking at this in kind of the late spring of 2014. And what really allowed us to do this is the great work we've done in terms of complexity reduction across our businesses. And it really availed the opportunities to get more competitive with the cost structure and to move resources, more resources in to growth. And so we started looking at -- in the kind of late spring of the year, and we really wanted to make sure that we got it done before the end of 2014. The numbers that we're talking about here are principally, wage-related, right? So the $14 million or $15 million of savings -- $0.14 is principally wage-related. And by the way, that included the businesses and corporate. It -- so that was -- it was across the entire corporation that we're able to take a hard look at it. In terms of other things, nothing on the table today. I will tell you that we're kind of always looking at opportunities where we can do that. And certainly, any meaningful acquisition would give us opportunity to go after that. So we're not planning on -- we're not serial restructurers. That's not our gig. But if we get the opportunity to take a big chunk of cost out, we're going to do it.
Operator: Our next question comes from the line of Joe Radigan with KeyBanc.
Joseph K. Radigan - KeyBanc Capital Markets Inc., Research Division: Andy, you've talked about the -- making your own luck for a while now. Do you track, or are you able to quantify how much organic growth you think is coming from share gains, new products, geographic expansion, all that stuff you're investing in versus the underlying market growth rate? Or how do you think about that?
Andrew K. Silvernail: So our goal has really been, how do you find 200 to 300 basis points above market. How do you do that. And if you look at, say, let's call it the 2000 to 2010, that time frame, or maybe even 2000 to 2012, we delivered just under 1 point of incremental growth above what we'd look at our market growth. And we want to get another 100 to 200 basis points above that. What I would say is, certainly, over the last couple of years, I'm going to -- I have to kind of break it down specifically, but I bet it's 1.5 points that we've gotten incrementally from the growth investments over and above market growth, maybe 2 points. So I feel pretty good about the benefits that we're getting there. The -- and if you remember back in late 2012, we also moved a bunch of cash, a bunch of money into growth initiatives. And throughout 2013 and 2014, those happened in smaller ways, the reallocation. But the $12 million that we're talking about reallocating here is some bigger chunks of opportunity. So I want to get 200 to 300 basis points above market. I think that would be outstanding. It would -- it'd drive tremendous value for our customers and for shareholders.
Joseph K. Radigan - KeyBanc Capital Markets Inc., Research Division: Okay. And then, so maybe as a follow-on to that. So excluding that project activity that your guidance is -- the core -- maybe the core organic growth rate in your guidance is 3% to 5%. Is any of that baked in there? Or do you think that's -- do you think it's upside to that number if you can continue to succeed kind of with these initiatives?
Andrew K. Silvernail: Well, I -- so I think the 3% to 5% is going to be 200 to 300 basis points above market. If you just kind of look at the global markets. If we nail that core 3% to 5%, we're going to have delivered on that promise. I feel good about that. Now the $12 million that we're putting to work here, that really kind of comes out of the restructuring that we're doing, that's going to show up in '16 and '17. We've talked about this before. One of -- the beauties of IDEX, and why we have such outstanding fundamental economics in the business from a cash perspective and from an income perspective, is the stickiness of the markets and the highly engineered nature of what we do. The downside to that is that market share, the downside from an offensive perspective is market share moves glacially in these businesses and new-product adoption is very, very slow because our customers tend to be pretty conservative. And so if you look at kind of what I call full absorption rate of a new product, it can be 2 to 5 years of any business. So the investments that we're making today are really going to show up in '16 and '17. I mean, one way to look at this is you say, "Hey, you know what? We're not going to make these investments. We're going to take the $0.05 to $0.10, and we're going to put it in our pocket and cover the FX headwind," right? So if you look at the numbers that we have, 100% of the difference between kind of what you guys were calling and where we are today is FX. 100% of that is FX. So we could have kind of put that in our pocket. And frankly, we -- for 2015, that would be fine, but we'll lose the opportunity to accelerate organic growth, continue to accelerate organic growth in '16, '17 and beyond.
Joseph K. Radigan - KeyBanc Capital Markets Inc., Research Division: That makes a lot of sense. So maybe just last for me. You've been a little more cautious on China for a while now, too, probably ahead of the curve in that regard. Can you talk a little bit more about the tone you're seeing there currently? I know you said it's still choppy, but can you frame that a little bit? Does that mean you expect sort of a continued deceleration in growth? Or are you seeing any signs that maybe there's some stabilization there or even improvement in '15?
Andrew K. Silvernail: So I was there later in the year. I was kind of -- November -- in November of the year. And what I would say is that, I mean, obviously, the headline growth rates that are talked about in China are not real, right? Fundamentally, they're inflated numbers, right? And I think that the underlying number that we kind of look at is probably a market growth rate in our type of businesses that's kind of 5-ish percent. That would be my estimate. And -- but with that, it's really lumpy. And as an example, one of the things that's driving lumpiness right now is the anticorruption probes. That's lasted longer and it's even more impactful than we would -- than we thought, really, last year. And what's happened is, as that happens -- and the best example it impacts us is our Dinglee business in Rescue. You see procurement offices kind of shut down as -- when they -- when those probes kind of work themselves through. So there are a lot of things that are non -- that are more policy-related than they are purely economic-related that impact that. So the net of that is, I think it's kind of a mid-single-digit market growth rate in our businesses with lumpiness. And what we say internally and what we say externally is, when I think 10 years from now, that's going to be a much bigger business for us. It's going to be -- it is profitable today, it's going to be profitable in the future. We've got to be there, but you have to live with the volatility.
Operator: Our next question comes from the line of Mark Douglass with Longbow.
Mark Douglass - Longbow Research LLC: Andy, did I hear you right? You said you expect low single-digit organic across all the segments?
Andrew K. Silvernail: Yes, for the year.
Mark Douglass - Longbow Research LLC: Yes, for the year?
Andrew K. Silvernail: Yes, pretty much, yes.
Mark Douglass - Longbow Research LLC: Oh, okay. It's a little -- could you talk about that? It seems a little surprising. I guess I figured it can't be the...
Andrew K. Silvernail: No. I mean, well, the -- Diversified's going to have some challenges, right, for the first half, so I apologize. I don't -- Let me backtrack that. The first half, Diversified's going to be challenged. If you look at HST, at FMT, they're going to kind of be low to mid-single digit. And FST, I think when you look at the first half, which is going to have a dramatic impact, that will be strongly negative. And then, it will be kind of flat to down a couple points in total for the year. So I apologize for the confusion, Mark.
Mark Douglass - Longbow Research LLC: Okay. Yes, that's kind of what I was thinking, reflected down on the others. Reasonably good growth, even HST probably outgrows everybody...
Andrew K. Silvernail: Yes, I think so. I think you'll see HST and FMT have pretty solid years.
Mark Douglass - Longbow Research LLC: Okay, great. And then looking at the profitability in HST some more, you mentioned IOP is -- has really turned the corner -- well more than turned the corner. It's doing a lot better. But -- and I know that was a big project for a couple of years, but you still are spending or spent almost $5 million on HST. I was surprised you spent a lot more in that business given how well it's already running. What did you do there? What did you see there that could make that business even better?
Andrew K. Silvernail: I think where you've got to start from, really, in all of these businesses is kind of what is, what I call, the economic potential of these businesses. And across HST -- and really, I mean, all of IDEX, but HST, specific to this conversation, you have very, very high contribution margins. And so there are kind of 2 ways of driving profitability from that. One, obviously, is volume and holding down the cost base. So you get tremendous flow-through on that. The other one is when you have those high contribution margins, there's a lot of room between contribution margin and op profit to go and drive productivity. And so we've been making very strong overall investments in productivity across the platforms in HST, and it's paying off. IOP, as an example, this is a business that is now in the 23%, 24% EBITDA range. It's -- so really, that's a business that has, to your point, has more than turned the corner, and we really love the overall profitability of that business. It's exactly what we thought it would be.
Mark Douglass - Longbow Research LLC: Okay. And then, Heath, what's the capacity available for M&A or share repurchases?
Heath A. Mitts: Well, I mean, the balance sheet is not going to be a gating item, given where our leverage is, given where -- how much cash we have on the balance sheet today and with our strong cash generation that we've always had as a corporation. We could, in theory. I mean, the number's somewhere between $1.5 billion and $2 billion of deployment over, say, a 2- to 3-year period. That's not the gating item. As Andy mentioned earlier, we're going to intelligently increase our dividend as appropriate. We're going to intelligently do the share buybacks, and we're going to stay disciplined on the acquisitions, albeit we feel pretty good about where we are in terms of getting some things done this year. And as Andy mentioned earlier, we'd be disappointed if we didn't deploy at least $250 million towards M&A this year. So the gating item is really more finding and -- the right acquisitions and opportunities that fit our strategic profiles as well as our financial expectations.
Mark Douglass - Longbow Research LLC: Right, right. Yes. Certainly a financing issue. I'm just kind of wondering if -- $250 million sounded like what Andy thinks...
Andrew K. Silvernail: Yes. I mean, I...
Mark Douglass - Longbow Research LLC: And can we really -- you could certainly do more.
Andrew K. Silvernail: Yes, absolutely. And there are things in our funnel that are meaningfully larger than that, right? It's just -- they're difficult to do, right? They are tightly held businesses that people don't necessarily want to part with.
Operator: Our next question is from the line of Joe Giordano with Cowen.
Joseph Giordano - Cowen and Company, LLC, Research Division: I think everyone appreciates how clean you always present your financials and you take it on a chin in terms of restructuring into the P&L. And I'm just curious as to how the internal discussion goes as to when you make a decision to call something out. Like, is it just simply the magnitude of the actions?
Andrew K. Silvernail: Yes, it really is. And we even had the debate this time around, right? And we just said, "Hey, it's -- there'd be too much noise on an ongoing basis if we didn't kind of talk about it explicitly." So it really is the magnitude. It's not uncommon for us throughout any one year to eat a few million dollars in kind of ongoing restructuring stuff that we do, right? And we don't talk about it, whether it's facility consolidation or moving a business, et cetera. We typically just kind of ease it in the P&L. But when it's this big, we felt it was just really appropriate to talk about it.
Joseph Giordano - Cowen and Company, LLC, Research Division: Okay. So there was nothing like strategically different about this type of restructuring, it was just -- it was -- the size of it was just larger. Okay.
Andrew K. Silvernail: Really, I think the important thing here is it's spread across the businesses, right? So there's -- this is not kind of 2 or 3 things that we did. It really is spread across all 3 segments.
Joseph Giordano - Cowen and Company, LLC, Research Division: Okay. And then just lastly, on the M&A. Maybe a -- if you guys can provide a little bit of color without hurting your positioning here. So where are you seeing the best kind of opportunities? Whether it's on an end market perspective or it's on a geographic perspective, any sort of color there would be helpful.
Andrew K. Silvernail: So I would say that the European deals are probably the best priced. The key for us there, though, is -- and we're looking at a number of them today, is if we're going to do a European-based acquisition, it's got to be something that principally -- or not principally but has a very, very strong export component to it. And that's meaningful to us, both in its existing business and our ability to globalize it. To buy a business, that's principally selling into Europe, that's not a great positioning. The valuation is both -- obviously, the currency but just overall valuations in local currency are more attractive, there's no doubt about that. U.S. businesses are certainly at a premium. You're seeing stronger overall organic growth. We haven't yet seen multiples come down in the energy space. And frankly, we're looking pretty strongly at that. We've got a great funnel in the energy space. We think long term that's a place we want to be, and we're hopeful that, with kind of what's going on here, corrects some of the -- frankly, some ridiculous multiples of that have been out there for a couple of years. But in our Chemical, Food & Process, really, nice funnel of businesses there. Throughout HST, we've got a nice funnel of businesses that are more global. Those businesses tend to be more global, anyway. And really, nothing big in Diversified. Historically, we haven't looked at a lot of acquisitions in the Diversified segment, although there are a few things that are nice strategic add-ons that we would do.
Operator: At this time, I will turn the floor back to Mr. Andrew Silvernail for closing comments.
Andrew K. Silvernail: Well, thank you, all, for joining the call today. I mean, obviously, we're really pleased with how 2014 turned out, and really, just congratulations to the team here at IDEX throughout the businesses that have really delivered consistently. I think they've done a great job. As we look at 2015, obviously, that -- the first half of the year, we have comp challenges. We've known that, we've been talking about it with you guys for a while here, but we feel very, very good about what's happened in the underlying businesses from an organic perspective, certainly from a profitability and cash perspective and also, our ability to deploy more capital than we have in M&A over the last few years. So I appreciate your support, and we will talk to you here in 90 days. Take care.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.